Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q1 2020 Wabash National Earnings Conference Call. At this time, all participants are in a listen-only mode. And after this speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ryan Reed, Director of Investor Relations. Thank you. Please go ahead, sir.
Ryan Reed: Thank you, Felicia. Good morning, everyone and thanks for joining us on this call. With me today are Brent Yeagy, President and Chief Executive Officer; and Mike Pettit, Chief Financial Officer. Couple items before we get started. First, please note that this call is being recorded. I’d also like to point out that our earnings release, the slide presentation supplementing today’s call and any non-GAAP reconciliations are all available at ir.wabashnational.com. Please refer to Slide 2 in our earnings deck for the company’s Safe Harbor disclosure addressing forward-looking statements. I’ll now hand it over to Brent and ask that you please refer to Slide 3.
Brent Yeagy: Thanks, Ryan. Good morning, everybody and thank you for joining us today. Let me begin by saying that we hope you and your families are healthy. And then each of you have found the way to better connect with those you love. The world has changed at a remarkable pace since our Q4 earnings call and we have a lot of topics to get everyone up to speed on with regard to the current environment, the state of our strong liquidity position, current customer sentiment and our supply chain stability it is also – I’d also like to offer some thoughts and perspective on the company’s performance to the last recession in that 2008 to 2009 timeframe, and why we expect this experience to be very different. However, before we get into those details, I’d like to start by sharing the steps we’re taking to safeguard the health, wellness and safety of our people. As we are an essential business we have continued to operate from the onset of this pandemic. Wabash products and services enable our customers to transform critical goods, whether it’s tank trailers, hauling feedstocks, the pharmaceutical processors, refrigerated trailers transporting fresh food to groceries or our truck bodies completing the last leg of the journey in delivering goods to the home. We’ve been part of assuring the vital supplies and basic needs have been met, which has allowed people to stay home more comfortably and social distance more effectively. We’ve initiated a company-wide business continuity effort that’s been helping us navigate through this extraordinary time with agility and speed. In addition, we made organizational changes throughout our company to facilitate bringing fast and deliberate decisions to action, as we are – we act on and within the business to best manage this dynamic landscape. We have made frequent, candid and empathetic communication with our all of our employees, customers and suppliers a top priority as we put plans in place around the current and anticipated disruption to the economy. Our supply chain and general work practices, as well as work to proactively manage the situation. We have adopted and implemented best practices gathered by the World Health Organization, Centers for Disease Control, and other respected sources of scientific fact to safeguard our people and our workplaces. In addition, we’ve been in close contact with the states and municipalities where we operate to assure, we’re in alignment and supportive of local measures. In our manufacturing facilities and offices, we’ve implemented working under standard social distancing protocols as a process that we need to embrace in the event that the standard of care must be in place for longer than any of us would like to imagine. We’re implementing smart, effective and risk-based control measures that are sustainable and productive, some of which are facility changes to reshape the physical manufacturing and office environments, wide reaching use of work from home or telecommuting tools, use of employee symptom prescreening tools, modification of common areas such as break rooms, cafeterias and other employee gathering areas, physical barriers, proper and effective use of personal protective equipment and administrative procedures such as enhanced, slightly modified travel protocols, and visitor procedures. I’d like to take the opportunity to thank all of our employees for their dedication to these unprecedented times. I’ve been extremely proud of our employees have reacted to and embraced the changes that allowed us to adapt our business to the current environment. Essential business or not, people are in different places in regard to their home situation, personal health, the health of those around them, as well as their own respective fear and anxiety regarding the risk of contracting this virus. By and large, our people have been responsible, open minded and supportive of our efforts to remain open and constructive during the past 60 days. Our culture is what makes it special to be part of Wabash National, and I’m always humbled by it. Let’s move on to an update on the customer and supplier landscape. As an essential business, we’ve been able to maintain business continuity with our modifications in place. However, we have not been immune to supply related disruptions caused by intermittent COVID-related issues, as well as state government pandemic response actions. Supplier impacts have been mitigated by agile supply chain actions taken as a result of changes made to manage last three years of peak product consumption, supplier capacity limitations and tariff-related impacts and speaks to the sustainability of those supply chain actions. We have also managed through supply chain issues by holding increased inventory at some at-risk inputs identified as part of our supplier risk management process. An area of risk that remains that we’re watching is regard to truck chassis in support of our truck body manufacturing process. All major producers of truck chassis have implemented hard and relatively extended shutdowns in response to the COVID crisis. While we may expect chassis production to reopen in the near future, the full impact of the supply chain is still being worked through. Overall, our supply base has weathered the storm well. And at this time, we do not see significant liquidity or solvency risk within our supply base as a result of shutdowns or reduced market demand. In terms of our customers, they’ve done an admirable job keeping the flow of essential goods moving in a challenging environment. Generally, they’ve gone from extremely busy as consumer stockpiled products stay at home orders to experiencing a considerable market softening with non-essential business closures. They are now gearing up to handle increased volumes where states begin to open up again. While customers are managing their capital outlays closely at the moment, I think there’s also an appreciation for wanting to maintain average equipment ages at reasonable levels to ensure efficiency, attract driver talent and avoid the situation down the road that we saw in 2018 and ‘19, where some customers could not get equipment as they manage their capital needs. We’re also finding as we expected, customers within our strategically managed customer portfolio have been relatively resilient as compared to their peers. We can observe that in their Q1 earnings, internal pandemic response efforts and through our overall backlog stability. Moving to Wabash’s financial results for the quarter, I’d like split my comments between two distinct phases, which is January and February together, and March specifically. The first two months of the quarter were relatively in line with our expectations as our operating cadence was certainly some margin normal historical performance during these months. Specifically for commercial trailer products, March tends to be the most significant month from a revenue and income perspective during the first quarter. And just as a quick refresher on revenue recognition, we recognize revenue when products move off a lot. In the case of trailers, pickups are typically heavy in March, a period that this year that was – that coincided with carriers being busy as freight activity received an unusual boost from pre-shutdown purchase behavior. So even though production was in line with our expectations, customer pickups were not. This resulted in a revenue shortfall for commercial trailer products during the first quarter. As we discussed on our last earnings call, Final Mile Products was expected to see an operating loss during the first quarter, due to weaker than anticipated customer pickups, coupled with the initial impact on operations of COVID-19, the loss in the quarter exceeded our initial expectations. Diversified products quarterly performance was only lightly impacted by COVID-19 related production or customer complications. As such, revenue and operating income were near our expectations for the quarter. Let’s move on to customer orders and backlog. As reports have shown, backlogs have come down throughout the industry as production has outpaced new orders since year end 2019. Wabash National’s backlog end of the first quarter had approximately $1 billion after registering $1.1 billion at the end of 2019. This is much less than the 20% decline that is seen in the broader industry over the same time period. We feel very good about these industry figures, as they continue to imply our share position. We have previously mentioned, we continue to believe that the customer conditioning that our portfolio executed over the past decade has and will continue to dampen the level of volatility that we’ve historically seen with on our commercial trailer products reporting segment. I will now move on to broader actions taken and look to the future. Along with the well-being of our employees, we are focused on protecting the financial well-being of our company during these extraordinary times. We’ve taken rapid action to right-size or cost structure for the current environment. Understand that Wabash National has really been reacting to the pandemic in only the last 60 days, and those actions that we take will be seen in future periods. We have eliminated essentially all travel, implemented a freeze on all non-essential spending across the company, only moving ahead on operating and capital spending that is viewed as critical and customer supportive. We have ceased all hiring, cut expenses on outside resources, implemented furloughs and headcount reductions and is always difficult to part with team members who have devoted themselves to the betterment of our organization. But it’s our obligation as stewards of the company to ensure not only its near-term liquidity, but also best position the company for overall stability as well as the creation of longer-term customer and shareholder value. We recognize that this is a period of shared sacrifice, and as such, myself and my team have taken voluntary salary reductions. Additionally, variable compensation for salaried employees will be reduced and potentially eliminated, if we do not meet targeted performance metrics that were set out at the beginning of the year. Looking ahead, we have well developed contingency plans to reduce spending further, if necessary, based on further deterioration of product or macroeconomic market conditions. In terms of how we’re planning to operate in the near future. First and foremost, we will safeguard our people and our communities. We will then focus on serving our customers in the premium manner they deserve. While ensuring the previous mentioned priorities, we will work to produce as effectively and efficiently as possible. We’re in a very dynamic period of change and evaluation of how best to go forward balancing customer responsiveness now with efficient operations, while looking to understand future operating needs. From a manufacturing perspective, furloughs are one tool that we have already used and will continue to evaluate to allow us to produce efficiently while up and running and then minimize our cost as much as possible during downtime. Our intent is to maximize efficiency, while assuring ongoing stability for the customer. Finally, I’d like to express my continued confidence in the future. We’ve been preparing for several years for an eventual downturn in our end markets. And while no one expected the downturn to look like our world does now, the actions that we have taken the strength on our balance sheet and ensure excess liquidity have proven extremely important. Although not all my leadership team was at Wabash National to learn from the company’s experience during the great recession like I was, the diverse perspectives that we bring from other companies and other sectors have been added to our approach to managing through this current situation. Our Board of Directors has also been extremely helpful through this time and devoting their expertise to helping us think through our approach to both short-term and longer-term initiatives. We are fortunate that all levels of our organization, this is not our folks first time at the dance and our collective experience of managing through a market downturn, regardless of cause is deep. We expect to show that our improved financial performance to the cycle that Wabash National is a more resilient company than we’ve ever been in the past. Wabash National has enjoyed a number one or number two position in the vast majority of our markets and we intend to leverage this crisis that further distance ourselves from our competition. This crisis has afforded us the opportunity to move back faster with organizational changes that were already underway, which we believe will allow us to increase our level of intimacy with our customers and drive an accelerated pace of customer-focused innovation that further differentiate our products in the marketplace. We’ll look forward to sharing those with you on future calls. In closing, our focus right now is on navigating the impact of coronavirus. I’m confident that we’re doing the right things to protect the health and safety of our associates, to continually – continue serving our customers in this critical time and to play our parts supporting the transportation sector. While the economic impact of COVID-19 will be severe, Wabash National has been through difficult times before and we have learned lessons from prior cycles that we have embraced to make a stronger and more agile heading into this one. Finally, our resilient culture and a strong balance sheet provide us with the opportunity to emerge as a stronger company as we have continued to execute our strategic plan throughout this crisis. With that I’ll turn it over to Mike for his comments.
Mike Pettit: Thanks, Brent. We’re going to do things a little differently on this call by spending more time discussing metrics that have taken on greater importance in this environment, like our balance sheet, liquidity and debt structure. As Brent mentioned, we feel that we’re better positioned than at any point in our company’s history to not only a global recession, but also to use this period to set ourselves up to perform on the other side. But first beginning on Slide 4, I’d like to briefly give some color on our first quarter financial results. On a consolidated basis, first quarter revenue was $387 million, with consolidated new trailer shipments of approximately 9,150 units during the quarter. As Brent mentioned, customer pickups of equipment were below our initial expectations for the quarter leading to revenue also coming in below expectations. First quarter gross margin was 9.5% of sales, while operating income came in a loss of $110 million due to non-cash goodwill impairment charges. Operating income on a non-GAAP adjusted basis was a loss of $2.9 million. Given the uncertainty of the current environment, we recorded non-cash goodwill impairment charges totaling $107 million relating to the acquisitions of the Walker Group and Supreme Industries. Brent and I would like to reinforce in the strongest terms possible that our Final Mile business remains an exciting opportunity and a growth platform that we intend to leverage in the short, medium and long term. The progress we’ve made to recapture our share combined with Wabash’s technology offerings will continue to resonate in the marketplace, and we continue to work diligently on the operating performance within this business to ensure profitable growth. Finally for the quarter, GAAP net income was a loss of $106.6 million or negative $2.01 per diluted share. On a non-GAAP adjusted basis, net income was a loss of $2.3 million or negative $0.04 per share. Moving on to Slide 5, I’d like to review our cost structure and give you a little more detail about how we made quick adjustments from a cost perspective. In rough numbers, it’s fair to say that our cost structure is highly variable with material cost of 60% and direct labor equating to another 10% plus. So in total, I’d like to think of our total cost base is approximately 75% to 80% variable. We have moved quickly to ensure that our variable costs are coming down in line with volumes. Additionally, we have temporarily, but significantly reduced fixed costs in the second quarter by executing a two-week company-wide furlough that incorporated 90% of all salary employees. We plan to handle the near-term market disruptions with furloughs and downtime as we continue to work to permanently lower cost. We’ll give an update on some of these plans at the second quarter call. We’re also heavily scrutinizing and anticipating cutting most discretionary, non-essential expenditures in the short-term. In addition, Executive Officers took voluntary salary cuts as Brent mentioned, with a significant amount of incentive base pay that is tied to financial performance metrics like operating income and free cash flow, and these act as a release valve by significant reducing, depending on financial performance. I’d like to stress that we have contingency plans for multiple scenarios, and while the actions we’ve walked through are important steps in reducing cost, we have additional levers that were ready and able to pull, should the situation dictate. Given that we’re all managing through an unprecedented uncertainty and conditions, we – that can change at a moment’s notice, we have decided the time is not right to provide detailed forward guidance. However, under current circumstances, we expect free cash flow to be positive in 2020. Moving on to our balance sheet, our liquidity or cash plus available borrowings as of March 31st was $277 million with $155 million of cash and $122 million of availability on our revolving credit facility. In March of this year, we proactively drew $45 million from the revolver to bolster our cash balance. Our modeling suggested a $45 million revolver pool covered the worst case we could envision, which is to say, we do not expect to tap our revolving credit facility again in 2020. But it is for the liquidity that remains available to us. Moving on to capital allocation on Slide 6. Regarding capital expenditures, we are again heavily scrutinizing spend and only proceeding with projects that are critical to the maintenance of our existing operations. We are targeting a 50% reduction from our previous guidance to approximately $20 million in spend, and stand ready to reduce further, if required. We expect to free up cash with working capital reductions and that coupled with our quick and decisive cost cuts should allow us to deliver positive free cash flow even in this difficult operating environment. With regard to capital allocation during the first quarter, we invested $6.3 million capital projects, paid our quarterly dividend of $4.5 million and repurchased $8.9 million of shares prior to the pandemic. For the near-term, our approach to capital allocation centers around the preservation of cash. We’ll carefully control capital expenditures, while prioritize our dividend and assessing opportunities for debt reduction. Turning to our debt structure. Our nearest maturity is not until March of 2022, when our term loan matures. The balance stands at just $135 million and we expect to look to refinance this instrument in the next year. We are covenant light with no financial covenants on our term loan or high yield bonds. The only potential financial covenant in place is on our revolving credit facility, which dictates a minimum fixed charge coverage ratio of 1 to 1 when excess availability on the revolver is less than 10% of the total facility. We obviously do not expect this covenant to come into play. We’ve been in close contact with our bank group over the past couple of months. They have been very helpful in advising on the trends that they see developing in the debt markets and we have confidence in continuing with the partnerships that we have in place. Now finally, on Slide 7, I think it might be helpful to spend a moment comparing where the company stands now compared to prior cycles. With the uniquely severe nature of this crisis, it seems like the 2008 to 2009 time period will provide the most relevant comparison. While we know some of you have followed Wabash for more than a decade, I think it would be useful to discuss some of the some of the challenges the company faced during the last cycle, and why we don’t expect a repeat this time. First and foremost, in early 2008, the company did not have the cash or liquidity balance that enjoys today. This lack of liquidity, combined with limited access to fresh capital during the financial crisis forced the company to take drastic steps that we’ll not repeat. I think it’s fair to say that experience has led to the scar tissue around the organization and those are our mistakes that we’ll not repeat and clearly our present liquidity situation speaks to that. Beyond our presently stronger liquidity situation, this company has also grown and diversified our product and end market exposure over the last decade. We have gone from primarily a producer of dry vans to a holistic provider of transportation equipment, and expanding our portfolio to include tank trailers, truck bodies and expanding our customer and end market exposure accordingly. In summary, we feel that we’re well positioned to navigate the unprecedented time. Our cost structure is highly variable and we’re taking quick actions to reduce fixed costs. We have excess liquidity, no financial covenants, no present borrowing levels and a patient debt structure is absolutely our intention to continue further in the progress of our strategic plan and prepare ourselves to be stronger as market conditions recover. With that, I’ll turn the call back to Felicia and we’ll open up for questions.
Operator: [Operator Instructions] Your first question comes from Justin Long from Stephens.
Justin Long: Good morning, everyone.
Mike Pettit: Good morning.
Brent Yeagy: Good morning, Justin.
Justin Long: So it was good to hear that you expect to remain free cash flow positive this year. You know as we think about that outlook, could you talk about what you’re assuming for the working capital tailwind in 2020? Just curious how much you can adjust there? And then also, as you made that comment that you feel like the revolver pull of $45 million could cover a worst case scenario. Is there a way for us to kind of think about what that worst case scenario looks like from a trailer production perspective or any other way you want to frame that up?
Mike Pettit: Sure. I’ll start with that one first. When you look at the timing that when we pulled it back in March, it was an era of pretty high uncertainty. So we looked at a second quarter pullback that would have been far greater than 50% drop year-over-year in revenue. At that point in time, in March, we weren’t sure what the reactions from the economy or industry would be. So we model something that was greater than 50% pullback in revenue as our worst case scenario. In terms of free cash flow and the working capital, we feel that number in the $25 million to $30 million to $40 million range is highly possible. Again, it would be dependent on how much revenue we’re to contract. So those obviously are connected. But we have already seen some nice efficiency in our working capital based on some inventory reductions. So it’s somewhere in that ballpark, we think we could reduce working capital and help our free cash flow position.
Justin Long: Okay, that’s really helpful. And obviously the outlook is really uncertain here. And we’re all kind of running different scenarios in terms of the top line and what it could look like. But you know, if you think about all the cost cuts that you’re implementing and it sounds like you’re taking a pretty aggressive approach there. Is there a way we could be thinking about decremental margins for the business? Do you have a specific you know target in mind, and maybe you could talk about decremental margin across the different segments and how that might vary?
Mike Pettit: I would say, as a total, what we saw in Q1 was something that we would feel pretty comfortable with going forward. You know, as it relates to the segments that we’re looking at it more in total. But I would say that, you know, the 15% to 20% of high teens, I believe was kind of a good range that we’re trying to manage within. And that’s because we’re able to do that because we are actively going after the fixed cost reductions along with the variable cost. And there’s two points in there that when people look at us, I think they sometimes overestimate the level of fixed costs, we have a pretty variable fixed cost structure, excuse me, pretty high variable cost structure, so we’re able to reduce variable costs with volume. And we are also taking some pretty quick action to move down fixed costs which allows us to keep those decrementals in that just under 20% range.
Brent Yeagy: Yeah, and I would add to that just from a relative preparedness for this unseen, we’ll call it, environmental reality. Remember that when we think about our history with the ‘08-‘9 recession, the pre-planning that we’ve done, we had a pretty solid variable cost and we’ll call it, book of actions that we already knew what we would pull, how we would pull and the degree at which we would pull them on various market conditions. So we’re able to move relatively fast in that late March and in April timeframe on the fixed cost basis. You know we’ve been talking about the restructuring of the company really for the last year. We’re making – those are – were active evaluations and work streams that were in a way in place prior to the COVID-related crisis. All we’ve done at this point is accentuate and accelerate those as we move the business forward. So that’s why we feel good and how we’ll be able to manage those decrementals going forward we’re not starting from a dead stop and are thinking like many companies will be.
Justin Long: Makes sense. And one just last one on Final Mile, you know, I was a little bit surprised by the impairment charge. I was wondering if you could just give a little bit more color on that and you know maybe say how much of that is related to COVID in this downturn versus, you know, other adjustments that would have happened regardless of this downturn? And then just thinking about that Final Mile business longer-term. I mean, do you still feel like the financial framework in terms of the top line opportunity and margin opportunity is intact? Or you know structurally should we be thinking about something lower than what you’ve talked about historically?
Mike Pettit: Yeah. So the goodwill impairment, when you have the market disruption like we had in Q1, it forces us to relook at all our modeling on goodwill, usually you do that heading into the end of the year. So with a stock price pullback that we saw in the quarter, and then just overall market conditions that forced us to do another quantitative look. And I’ll tell you that the major change in our modeling of the Final Mile business was the near-term cash flows, which as you know, on a cash flow model, those have the highest impact. So it was really a 2020-2021 look, given the environment that we’re in, we believe that would have significantly lower cash contribution from Final Mile in 2020 and 2021 than what we would have modeled in Q4, let’s call it. That said, nothing really changed about our long-term outlook in that business. So we believe that business returns to the same level of long-term growth, cash generation and profitable growth that we had modeled at time of acquisition and time and earlier points when we were modeling the goodwill analysis. So we don’t think it changes the future outlook of the business, but there’s a short-term disruption based on the COVID.
Brent Yeagy: Yeah, and I’ll add to that, and I want to echo to the fact that we’re not retreating in any way shape or form from the long-term strategic impact that FMP will have with – hamper us both top line and margin performance. We are dealing with an unfortunate and unplanned environmental condition with COVID that has had a larger impact on FMP then we would have planned for if we can plan for such a thing. We were saying and we’ve talked about the knowing of what was impacting the variable cost basis of that business in Q4, we understood how it’s going to impact in Q1, we guided to it. And we saw incremental improvement on a month-to-month basis in that variable cost structure as we moved through. So for what we control, we’re acting on it. Unfortunately, that gets washed through when you have something as significant as a 40% top line reduction that’s caused by a myriad of COVID-related issues. I’ll give you one example, being unable to ship into New York and most of the East Coast, because of severe shutdowns and fear of contracting the virus and that is something that has been worked through over last 45 days to 60 days that’s not in someone’s game plan in terms of how you’re going to manage or manage your guys for the given quarter.
Justin Long: Makes sense. Appreciate all the time today. Hope you guys stay safe.
Mike Pettit: Thank you.
Brent Yeagy: Thanks, Justin.
Operator: And your next question comes from Joel Tiss from BMO.
Joel Tiss: Hey guys. How’s it going?
Mike Pettit: Joel.
Brent Yeagy: It is good.
Joel Tiss: I know you don’t want to give us any guidance, but somebody always has to ask the mandatory question if you can give us a little bit of color of what, how April and maybe the first week of May started you know just kind of some other companies have kind of hinted that, you know, week-by-week since the beginning of March or whatever things have gotten a little bit better or things are kind of stabilizing or just anything you can help us with there?
Brent Yeagy: Sure. I’ll give you a kind of a round the horn view, some macro, some micro, right. So, one thing we talked about was that we furloughed the 90% of our salaried workforce and all of our hourly workforce effectively for two weeks in April to manage just overall cash spend, what we’re able to experience during that period was when those employees came back to work was a healthy, engaged and productive workforce coming right out of the chute. And that speaks to the resiliency of Wabash National, I think that’s something that we’re using, and I expressed to everyone on the call that should give some level of forward-looking stability for the company from an operational standpoint. Our operations were not impacted in the month of April from a what, I would call a mandatory shutdown basis in any way, shape or form in any material manner and we’re able to weather through without significant impact on from a supplier basis. And we see that rolling into two May as well. So the operating profit looks good. From a commercial standpoint, our customers are still ordering and cancellations have remained I’ll call it non-material at this point, as we manage the in and out of backlog. So we’ve maintained relative backlog stability. And that is a really good sign as we look at the remainder of the year.
Joel Tiss: That’s great. And then you gave just a little hint. And I wonder if you could spend another minute on, you know, what you’re hearing from your customers in terms of, you know, holding on to their orders, I’m sure they’re doing the same things as you guys trying to cut as much outside spending as they can or, you know, any color about when they plan to pick up the trailers, you know, those sorts of things? Thank you.
Brent Yeagy: Yeah, well I would say, yeah that’s some more access that we have, we can see it in the earnings calls with some of our largest customers how they plan to maintain capital spending, specifically on trailers as they look to manage fleet age and operating cost per mile throughout the rest of the year. And what I, just as we have learned how to manage through a downturn, they have as well. And they don’t want to get on the wrong side of an average age per trailer, as they did come out of the ’08, ‘09 time periods. And as we tend to sell to the most sophisticated and well capitalized customers in the industry with that becomes a level of sophistication that they’re using today and how they manage their assets. We’ve specifically tracking our portfolio to leverage that going into the time, just as we’re in today. When we talk to them on a one-on-one basis, they echo back and we can see that in the context of the level of cancellation that we have seen primarily in our indirect channel, not in our large customers, as well as we have not seen significant push outs in trailers or other Wabash National equipment across all of our segments. So not only has overall backlog stayed stable, but we’ve seen a stability in the, we’ll call, uptake and sequence of product as well. And their intent – which signals their intent they need, will pick up, I will say pick up is the actual measurement of when they’ll pick up is it’s complicated by the nature of the time, we’re in. But ultimately, we’re a build to order company. They want their product, they want it scheduled when they scheduled it, it will get picked up.
Mike Pettit: And maybe also [technical difficulty] you know the diversity of our customer base, we have customers that this has been a very busy time for liquid tank, food grade hauler or a refrigerated trailer or truck body customer may have more demand than they’ve ever had. So it’s a very diverse customer.
Joel Tiss: Okay. And last one maybe it’s a little bit unfair. But can you see any signs of distress in any of your competitors or any chance to sort of consolidate the industry a little bit? You know, I know it’s not really the time to think about those kinds of things, but just anything that would give you a little bit of a tactical advantage, you know, a year from now? Thank you and then I’m done.
Brent Yeagy: Yeah, I will – I’m not going to speculate on we’ll call it, acquisition roll up or consolidation activity, that’s too early to talk about. What I will say is, I think a – something that we take into consideration is that, we have been very dynamic and planful in the way that we manage our sales and operations planning process coupled with how we’ve derived our customer portfolio, you see it on our backlog. And we were taking variable cost actions and rightsizing our business in the fourth quarter for what we intended the initial backlog and demand pulled to be we’ve further done that. I would say based on our backlog, our capacity changes are effectively done, I believe a portion – and I won’t speculate on the size, but a portion of our competitors will still go through capacity rightsizing as they move into the mid-summer period. I think that may put us in a very competitive situation and being able to respond to what demand could be in the fourth quarter as well as moving into 2021. It gives us much more responsive footprint, depending on what the world gives us. And that’s something that we’re looking to enable so that we’re at a higher level of competitive advantage to react to what our customers’ needs are.
Joel Tiss: That’s awesome. Thank you.
Brent Yeagy: Thanks, Joel.
Operator: Your next question comes from Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: Good morning, guys.
Mike Pettit: Good morning, Ryan.
Brent Yeagy: Good morning, Ryan.
Ryan Sigdahl: So first off, on so CTP and DPG gross margins held up well despite a challenging environment, but negative gross margins in Final Mile was certainly surprising to us, the magnitude there. I guess why the outsized pressure? And then how do you think about those margins trending throughout the rest of the year?
Mike Pettit: For FMP, I would say that the reason why they came in maybe more negatively than expected was because as Brent mentioned, we were seeing improvement through the first quarter. We knew the first quarter was going to be challenging and we talked about that in the Q4 call. And as we were seeing some of our operations – operational improvement, hours per unit and productivity move in the right direction. It came right at the heels of us hitting margin, hitting the pandemic and some of the slowdown. And also the revenue pull back because of that and some of the some of the comments that Brent mentioned, pickups and shipments became difficult. So the lower revenue base with the absorption and the improvement that stalled out based on the pandemic really caused those margins to be a little bit worse. We would expect improvement to continue into Q2, but the slowdown in the first quarter due to COVID as it really what caused us do the worst of all we expected.
Brent Yeagy: Yeah, I think you have to really think about a 40% revenue decline that was predominantly occurring in that early February and into the March timeframe. You have to really look at how product has moved up or what. And in the vast majority of our product is customer pickup or customer arrange. In the truck body world, we’re significantly moving product in the urban centers, urban centers that are disproportionately impacted by municipal restrictions, they were significantly more impacted by literal COVID risk, populations were impacted, people were distracted and businesses were distracted. Picking up truck bodies were probably not high on individuals list during that specific period of time. Let alone, physical I’ll call it institutional barriers with getting product into these urban centers as well for the products that we sell specifically and the customers that we’re moving to. You also think about non-essential businesses that were shut down. In many cases, the dealer outlets for Final Mile related products were shut down or had skeleton crews. So their ability to manage the literal logistics of moving truck bodies were significantly impacted. Those are businesses that are – that really only through roughly the second or third week of April were really encumbered. Those are beginning to loosen up now as we move into the reopening phase for state and local government.
Ryan Sigdahl: Great, that’s helpful. And then just kind of as we think, you know, over the medium-term, I mean, I don’t think anyone argues with the longer-term opportunity there in the secular trends. But Mike I heard you say that the biggest change to the goodwill analysis was changes to 2020 and 2021 cash flows. I guess we were previously expecting a pretty sharp bounce back in the second half of this year in Final Mile, but it sounds like that could be a little bit longer, I guess how do you think about the next, call it, 6 months to 18 months?
Mike Pettit: Yeah, we definitely would expect the second half to improve, but it would be a slower recovery than what we would have been expecting, say in Q4 on the call. We that – as we mentioned that we were seeing some improvements in that business in Q1 we’d expect to see that continue, we’d expect to see improvement through 2020 and definitely improvement – significant improvement in 2021. It’s just a matter of that those absolute levels will be lower than what we would have originally modeled at a year end timeframe you know, call it in Q4 of 2019.
Ryan Sigdahl: Got it. Last one for me, then I’ll turn it over. So you talked about Q2 kind of the worst case scenario back in March was expected to be down 50% or more. As you know, has that expectation changed and things improved, worsen since then, I guess, you know, any high level kind of directional guidance you can give without being too specific? Thanks.
Mike Pettit: Yeah, yeah, no problem. It’s really more along the lines that we’re running multiple scenarios and at the end of March when we decided to tap the revolver, I would say the range of scenarios were a little wider than they are now, because it was hard to see the bottom at the end of March, just from an economy perspective, a recovery in the case array of COVID or any of those things, so we were modeling things pretty severely down. As we stand today, I think our general base case of that we’ve kind of tried to outline qualitatively is relatively intact. It just – it really feels like the bottom is a little bit more coming up a little bit and a little bit more stable. So it’s not so much the base case has moved too much. It’s just the bottom is more easy to see. So we feel pretty good. We feel pretty good at our liquidity levels and what we did and we’re actually very comfortable and probably wouldn’t need to pull that money today if we knew then what we know now.
Ryan Sigdahl: Great. Thanks, guys and good luck.
Brent Yeagy: Thanks, Ryan.
Mike Pettit: Thank you.
Operator: Your next question comes from the line of Felix Boeschen from Raymond James.
Felix Boeschen: Hey. Good morning, everybody.
Mike Pettit: Good morning.
Brent Yeagy: Felix.
Felix Boeschen: Hey. Maybe if I could start with a bigger picture question, Brent. I appreciate some of your comments on social distancing measures within facilities. I’m curious if you can maybe expand on that topic a little bit exactly what you’ve done within the facilities? And maybe how you think about increased automation opportunities going forward or any maybe short-term increases to cost we should be thinking about?
Brent Yeagy: Yeah. Well let’s see where to start on that one. Well, obviously we have two different types of facility considerations. We have the office environment, we have the manufacturing environment. From an office environment standpoint, we’ve got roughly 40% to 45% of our salary workforce working from home right now to facilitate social distancing within the office environment accordingly, right so we can get the spread that we need. We have significantly changed I’ll call the administrative and physical layout of certain common areas, break rooms, cafeteria, salon and what we will do is a phased approach of reintroducing some portion of that salaried workforce back into physical environment at the pace at which we can maintain effective social distancing. So we’ll make additional facility modifications to allow that to happen. But we probably will not have the same density of people in our office environment that we saw in the past. And that’s going to change physical needs going forward and I would say, in total, will lessen and that gives us opportunities potentially for facility rationalization, office consolidation going forward. So net-net, I see that as a reduced fixed cost activity for the company. From a manufacturing environment, we have been able to implement effective safeguards on the manufacturing floor across all of our businesses and we have a very diverse set of manufacturing systems, but they do lend themselves much more than other industries such as automotive, we have a much easier time putting in those appropriate procedures and where those can’t be put in place physical barriers, right to prevent the literal coughing and sneezing transmission through droplet to nearby workers. And so for the – the vast majority of cases, the productivity impact has been, I will say, minimal. We did see on the Final Mile business initially some impact in the March timeframe, but that is something that we’ve been able to continue to mitigate over the course of the last 30 days. And we just went through a round of work to understand how we can even further reduce that accordingly. What it has done. So from a capital standpoint, I don’t see us at a point right now, where we will need to shift capital to tackle COVID-related social distancing protocols that are impacting productivity, I don’t see that. I actually see the opposite. I see us being able to understand how to make use our enterprise lean tools to understand how we reduce the – and improve our standard work on the shop floor to encourage social distancing through efficient use of people without the use of capital. And that’s the direction that we’re heading down at this point.
Felix Boeschen: Okay, that’s very helpful. And then maybe a question on the backlog. I think obviously, the $1 billion from $1.1 billion is much more stable in the broader industry. Is there any way to parse out that $1 billion any further? How much is maybe Final Mile contributing to that versus the legacy trailer side? Just any color on that would be helpful.
Mike Pettit: Yeah, I can’t – I’m not going to give, I can’t give. I’ll call it super specific and I know you know that. What I’ll tell you is that, the breakdown of backlog by business reflects the normal breakdown that we have seen over the years. So we do not have some disproportional mix issue with backlog, it reflects our normal customer behavior, it reflects normal seasonality. It is stable in many ways beyond the top line, obvious number, and that gives us great confidence at this point and how we look to manage our business in the future.
Felix Boeschen: Okay. And then my last one maybe for you, Mike. On the CapEx side that 50% reduction. Correct me if I’m wrong, but would you kind of categorize that still sort of maintenance levels? I guess I’m trying to get maybe a better flavor for what exactly it is that you’re maybe deferring or cutting this year?
Mike Pettit: Yeah, so the $20 million would be primarily maintenance, safety, regulatory. There will be a couple key strategic initiatives that we continue to spend on in there. MSC, for example, it could be contained in that. But it would largely reduce significant growth CapEx. But we feel like $20 million allows us to not only maintain that’s like Brent’s comments around our customers maintaining their fleets, we believe that allows us to maintain our facilities for the future to come out of this pandemic really running hard, but also allows us to maintain some of our most important strategic initiatives with some level of funding.
Felix Boeschen: Okay, I appreciate it. That’s all I had.
Operator: Your next question comes from the line of Jeff Kauffman from Loop Capital Markets.
Jeff Kauffman: Thank you very much. Good morning, everyone.
Brent Yeagy: Good morning.
Jeff Kauffman: Quick question, you mentioned the customers didn’t pick up the trailers to the extent we would have liked. So sales are down about 27%, receivables at about 30%, inventories only down about 3% or 4% on a year-on-year basis. As these pickups balance out, where do you believe inventories go?
Mike Pettit: They’ll come – the inventory level that you see at the end of Q1 especially in our finished goods will come down. So a lot of those sit today, Jeff in finished goods. So we had a situation we built significantly more units in the first quarter than we shipped. So finished goods inventory levels will come down at all things else remain equal.
Brent Yeagy: Yeah and I think, Jeff I know you know this, but I want to say it for the call. The way that our – when you look at the characteristics of our finished goods. Again, we’re a build to order business. We invoice upon finish. We recognize revenue upon moving off our lot in many cases, we have been paid for – the units been paid for prior to recognizing that revenue, and I don’t want anyone to – have a misconception that these are speculative in any way. Effectively, every unit in finished goods is expected to ship. It’s just a matter of timing.
Mike Pettit: And it’s important to know we’ve been – we watched the receipt, as Brent mentioned we watch the receivables closely because there’s scenarios where we regularly will get paid for units that are still here on Wabash property. So we can’t recognize the revenue on that, but we’ll actually have cash and our cash flow has been really positive, even to the early parts of Q2 and part of that is because, while customers aren’t always picking up in a timely manner, they’re paying in timely manner.
Brent Yeagy: Well, I think a new couple paying in a timely manner where I think get pressure on making those units still thereby our customers are still calling every day, wanting to make sure those units are available. They’re paying effectively on time, they’re not extending terms as well as they continue to make logistics plans to pick up those trailers, everything still boxes that that need is out there.
Jeff Kauffman: All right. So if I think about to your point on the free cash as we convert a lot of this finished goods inventory and to revenue that’s going to help free cash flow. How should I think about where you want to position your inventories in this environment? I mean sales are down 30%. Is it reasonable for me to assume and I’m not asking for forecasts more how you think about inventory positioning? We should, in theory, see inventories down about that much overtime?
Mike Pettit: Yeah, we would certainly strive to reduce inventories in line with revenue and that’s kind of my comment on working capital. We would expect to see a reduction in working capital, that exact level and timing in this environment it’s tough to project but we are certainly planning on and we will see some reduction of working capital which would be a benefit to free cash flow.
Jeff Kauffman: Okay. Just one other question if I can. We talked about deferring non-essential CapEx. There’s a lot of new products that were slated to be introduced this year, whether it was some of the new DuraPlate products or the development of MSC as you know that now in the media, there’s a big focus on refrigerated right now and refrigerated final mile solutions. How is this environment you’re facing impacting the timing of some of these new product introductions?
Brent Yeagy: It has – Jeff it has had zero impact on the timing of the products that we have communicated to the market. Our so core product is out on the road. Our MSC is where we want it to be – that Michael alluded to we maintained funding for that. So there’s a host of others we have not delayed in many cases they are already commercialized and they are available to the market right now.
Jeff Kauffman: Okay, great. That’s all I have. Congratulations and good luck.
Brent Yeagy: Thanks, Jeff.
Mike Pettit: Thanks, Jeff.
Brent Yeagy: Well, seeing as well that’s all of our analysts who have –
Operator: I would now like to hand –
Brent Yeagy: We’ll close it there. Thanks, Felicia, and thanks for everyone for joining us today. More importantly, stay healthy and safe and we’ll look forward to following up during the quarter.
Mike Pettit: Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.